Operator: Welcome to the Liberty Media Corporation's 2025 Second Quarter Earnings Call. [Operator Instructions] As a reminder, this conference will be recorded on August 7. I would now like to turn the call over to your host, Shane Kleinstein, Senior Vice President, Investor Relations. Please go ahead.
Shane Kleinstein: Thank you, and good morning. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in the most recent Forms 10-K and 10-Q filed by Liberty Media with the SEC. These forward-looking statements speak only as of the date of this call, and Liberty Media expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Liberty Media's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures for Liberty Media, including adjusted OIBDA. The required definition and reconciliation for Liberty Media Schedule 1 can be found at the end of the earnings press release issued today, which is available on our website. Speaking on the call today, we have Liberty President and CEO, Derek Chang; Liberty Chief Accounting and Principal Financial Officer, Brian Wendling; Formula One President and CEO, Stefano Domenicali; and MotoGP CEO, Carmelo Ezpeleta. Other members of management will be available to join for Q&A. And with that, I'll turn the call over to Derek.
Derek Chang: Thank you, Shane. Good morning, everyone. It was an active second quarter at Liberty, which saw us progressing the initiatives we laid out to start the year. Regarding our planned split-off of Liberty Live, we filed the initial S-4 at the end of July and are now going through the customary review process. Chad Hollingsworth will be the CEO of Liberty Live Holdings once the split-off occurs. Chad is a Senior Vice President at Liberty, has been our Director of Live Nation since 2020, and is an agile person to oversee our investment. We expect to complete the split-off in the fourth quarter. Our next priority is supporting the growth and momentum at F1. The financial results were outstanding this quarter alongside a flurry of new sponsors announced, promoter partners extended, and media rights agreements signed. Stefano will provide greater detail shortly. And finally, we completed our acquisition of MotoGP on July 3. We are now beginning fulsome work in helping management set their strategic direction to enhance the company's growth. Fortunately, the sport and ecosystem are both in a strong position, providing the foundation to build on for future success. While it's early, I'd like to outline what we see as near- and medium-term priorities for MotoGP. Starting with near-term objectives. First, we want to accelerate the build-out of certain commercial functions, which was already in progress prior to the close. This includes sponsorship and marketing teams in areas like sales, account management, research, public relations, and social media strategy. Second, we will lean into brand positioning and build off the new MotoGP brand campaign that launched last November. Efforts will include developing a more robust fan insights platform, tracking brand awareness and engagement to better inform commercial propositions for new and existing partners. The team has already started new content initiatives with specific focus on the U.S. and U.K. markets. Third, we have begun collaborating with F1 to explore areas where we can accelerate business initiatives and share learnings. Some of these benefits will take time to materialize and be realized over the longer term. With respect to medium-term priorities, first, we intend to enhance the Grand Prix experience and turn each weekend into marquee events, very similar to the mandate in the early days of F1. This includes improving the hospitality offering and augmenting fan experiences on site as well as ample opportunities to deepen our partnership with Quint. Second, we will expand the sports global presence and broaden its appeal and reach. The MotoGP team has a clear focus on capturing new fans and growing outside the motorcycle racing world while maintaining its core traditional fans. They are already making progress in optimizing new race locations, including the recent announcement for a race in Buenos Aires in 2027, which strategically locates a track in an urban center as well as a return to Brazil next year after a 2-decade absence. We plan to target the U.S. as a key growth market given its limited presence today. Third, we need to scale sponsorship partners as we know this has massive potential given the current heavy reliance on endemic names. Furthermore, there is clear low-hanging fruit like unsold title sponsorships or vacant trackside advertising. However, we are also mindful that sponsorship sales cycles can be long, and the team will manage for the quality of partners with clear brand alignment. In aggregate, while it is early days and will take time, we are very optimistic about the growth potential for MotoGP. One perspective on the potential opportunity is in reference to F1 on several engagement and financial metrics. For example, F1's audience in both race attendance and cumulative TV viewership is roughly double that of MotoGP, yet F1 monetizes its primary revenue streams at roughly 5 to 10x those with sponsorship and hospitality at the high end of that range. These monetization opportunities, again, will take time, but we believe there is significant potential to scale and grow the business. We'll look forward to updating you on our progress as these initiatives develop. Now I'd like to welcome Carmelo to make some remarks on MotoGP. I have gotten to know Carmelo and his team over the past few months and have tremendous respect for the sport that he has built. His passion is second to none, and I will now turn it over to Carmelo so you can hear it from him directly.
Carmelo Ezpeleta: Good morning, and thank you, Derek. We are very excited that the transaction has closed, and we can now begin our partnership with Liberty Media. Liberty's track record with Formula One is well known, and the acquisition has already led to increased interest in our ecosystem. We look forward to benefit from Liberty's expertise as we continue to accelerate the sport's growth and expand its reach to a wider audience, growing value for our funds, teams, commercial partners and investors. The 2025 season has been very strong. We have held 12 races through the first half of the season and have seen driving competition and great engagement from our fans. We have had 5 riders and 4 teams win and 11 riders across 8 teams on the podium, including our spring races. The concession system in our sport is designed to drive more competition across the grid, giving lower ranking manufacturers more testing opportunities to improve their technology quicker. This new system, which was put in place last year, is clearly having a positive effect, which we expect to continue. Through the first half of the season, attendance is up 6% on a like-for- like race basis. Notably, Le Mans set the highest attendance ever from the MotoGP championship since records began in 1995 for the third year in a row. Looking at recent races, the Italian Grand Prix saw attendance up to 6% and set a new circuit attendance record and the Dutch and German Grand Prix achieved record attendance at their circuits for the second consecutive year. From a viewership perspective, we have 38.2 million average TV viewers through the first 12 races of the season. and engagement has been also very strong across digital channels, including our direct-to-consumer product, VideoPass. Social media followers reached almost 60 million, growing 6% year-over-year. Our new brand identity launched at the end of last year and our first ever season launch event that we hosted in February are resonating with fans as we continue to showcase MotoGP as a leading global media and entertainment brand. Our management team is looking forward to getting to know our investors and analysts audience over the coming quarters and to sharing our incredible sport with all of you. Now I would like to turn the call back to Derek.
Derek Chang: Thanks, Carmelo. We are thrilled to have you and your team on board and are looking forward to further showcasing the MotoGP asset in due course. Now I'll turn it over to Brian for more on Liberty's financial results.
Brian J. Wendling: Thank you, Derek, and good morning, everyone. At quarter end, Formula One Group had attributed cash and liquid investments of $3.1 billion, which includes $1.8 billion of cash at Formula One and $70 million of cash at Quint. Total Formula One Group attributed principal amount of debt was $2.9 billion at quarter end, which includes $2.4 billion of debt at the OpCo level, leaving $525 million at the corporate level. F1's $500 million revolver is undrawn. The MotoGP acquisition closed on July 3. Liberty acquired 84% of MotoGP with management retaining a 16% ownership stake. Pro forma for the transaction, F1 OpCo had approximately $380 million of cash and $3.4 billion of debt, bringing pro forma leverage to 3.3x compared to 0.7x reported as of 6/30. Formula One Group Corporate had pro forma cash of approximately $480 million and no change to the debt balance. Shortly following transaction close, we launched a refinancing at MotoGP that is expected to close later in August. We priced approximately $230 million of new Term Loan A denominated in U.S. dollars, a new EUR 800 million Term Loan B, and a new EUR 100 million multicurrency revolver with future reductions in margin expected as the business delevers. This new capital structure will result in significantly reduced annual interest expense, extended maturities and a currency mix that better reflects the euro and U.S. dollar exposure of the business. Using June 30 balances, exchange rates as of that date and pro forma for the refinancing transactions as 5.2x. In the near term, we expected to delever both at Formula One and MotoGP. Our goal is to delever to the 3 to 4x range of the MotoGP business by the end of 2026. Turning to the F1 business. I'll make some brief comments on the second quarter, but we'll focus primarily on year-to-date comparisons, which better reflect the state of the business given variability in quarterly race numbers and mix. A reminder that every quarter in 2025 will have a different race count and mix, which will impact quarterly comparisons. Most of the variability in Q2 year- over-year results is due to one additional race held in the mix of events in the second quarter compared to the prior year period. Q2 '25 held 9 races compared to 8 races in '24, with Bahrain and Saudi Arabia occurring in the current period compared to China in the prior year period. Year-to-date, though, through the second quarter, F1 had the same race count and mix year-over-year. The business is performing incredibly well with revenue up 14% and adjusted OIBDA up 21%. Revenue grew across all revenue streams with sponsorship, race promotion and media rights continuing to benefit from new partners and underlying growth in the existing contracts. Media rights also continued to see strong F1 TV growth and recognized onetime revenue associated with the Apple F1 movie in the second quarter. Other revenue increased primarily driven by higher freight, hospitality and licensing revenue, including the success of the new LEGO partnership. Adjusted OIBDA increased on a year-to-date basis with revenue growth outpacing increased expenses. Other costs of F1 revenue increased primarily due to higher freight costs from the mix of routes flown as well as higher hospitality costs, primarily driven by increased Paddock Club attendance and higher commissions and partner servicing costs, including increased costs to service new sponsorship agreements. SG&A expense increased year-to-date, primarily due to higher marketing and personnel expenses. Marketing expense was impacted by the O2 launch event that occurred during the first quarter and team payments increased due to the pro rata recognition of expected higher team payments for the full year. Team payments as a percentage of pre-team share adjusted OIBDA were 58.4% year-to-date compared to 61.9% in the prior year period. A quick reminder that team payments should be analyzed on a full year basis due to quarterly fluctuations in team payments as a percent of adjusted OIBDA. Reminder that team payments as a percent of pre-team share adjusted OIBDA were 61.5% for full year '24, and we continue to expect to see leverage against the full year '24 percentage for the full year of 2025. Turning briefly to MotoGP's results. A reminder that since the transaction closed on July 3, MotoGP results will not be consolidated until the third quarter. All financial information for the business to date has been in Spanish GAAP, and we expect various U.S. GAAP adjustments, including the removal of straight-line revenue and cost recognition for multi-year contracts. Under U.S. GAAP, we expect growth rates for primary revenue streams with multi-year contracts to more closely approximate the annual escalators included in the contracts, obviously, absent the impact of any significant renewals, which will differ from the relatively flat Spanish GAAP representation included in our financial disclosure to date. We expect to provide results for the full year 2024 in U.S. GAAP at year-end as part of our normal reporting. More information can be found in the information pack on MotoGP that was posted to our website at the time the acquisition closed and a table summarizing 6/30 year-to-date results in Spanish GAAP can be found in a trending schedule that will be posted to our website after the 10-Q is filed. MotoGP held 10 races in the 6-month period ended 6/30/25 compared to 8 races in the prior year period. Spanish GAAP revenue and EBITDA were EUR 220 million and EUR 75 million, respectively, for the 6 months ended 6/30/25. Year-over-year comparisons are impacted by the mix of races as flyaway races in general carry a higher cost per race. For the full year 2025, we expect a normalized race calendar unlike 2024, which was impacted by several race cancellations. Note that the second half of the year contains a higher mix of races with greater profitability. The majority of MotoGP's revenue and costs are euro-denominated. Going forward, we intend to provide both U.S. dollar and euro-denominated growth rates to better portray underlying trends in the business. Lastly, looking briefly at the Corporate and Other results year-to-date. Revenue was $198 million, which includes Quint results and approximately $12 million of rental income related to the Las Vegas Grand Prix Plaza. Corporate and other adjusted OIBDA loss was $4 million, includes Grand Prix Plaza rental income, Quint results and corporate expenses. As a reminder, Quint's business is seasonal with the largest and most profitable events taking place in Q2 and Q4. Turning to the Liberty Live Group. There's attributed cash of $308 million and $400 million of undrawn margin loan capacity related to our Live Nation margin loan. As of August 6, the value of the Live Nation stock held at Liberty Live Group was $10.4 billion. We have $1.15 billion in principal amount of debt against these holdings. Liberty and F1 are in compliance with our debt covenants at quarter end. And with that, I'll turn it over to Stefano to discuss Formula One in more detail.
Stefano Domenicali: Thanks, Brian. It continues to be an incredible season as we head into a well-deserved summer break for our F1 community. We've witnessed a thrilling competition and on track action that shows everything Formula One represents. Several drivers across the grid have stood on the podium this season, demonstrating the depth of talent across the grid. What is equally impressive is our competitive mid-field battles. Every single team down to 10th place has scored meaningful points this season. I'd like to take a moment to congratulate Nico Hülkenberg on achieving his first podium at Silverstone, a moment that perfectly captured the unpredictability and human stories that make F1 so captivating. Our fans are showing up in larger numbers than ever with impressive engagement across metrics. Attendance has been solid with nearly all events operating at capacity. 12 of the past 14 races sold out and 6 races set new attendance records, including Silverstone, welcoming close to 500,000 fans over the 4-day weekend. At the Paddock Club, we've sold 28,000 tickets season to date through Hungary. Early forecast based on advanced partner requests are already indicating strong demand for 2026. Looking at TV viewership for the '25 season, nearly every race is showing healthy growth in year-over-year live viewership across F1 top 15 markets. Key large European markets have seen robust growth, including Germany, the U.K. and France as well as our non-European markets like the U.S., Australia, Canada, and Brazil. In the U.S., in particular, live viewership is up 7% season to date compared to last year, and ESPN has seen 7 races set viewership records for their events. Our additional race content is benefiting total viewership with live audiences for the Sprint race in Miami up to 25% year-over-year, attracting the largest U.S. audience for Sprint race since the format was introduced in 2021. Perhaps even more impressive is our traction on digital and social platform. Viewership of F1 highlights on our YouTube channel grew 30% compared to last year, and over half of this audience is under 35. Our social media followers reached 106 million, growing over 20% year-over-year, primarily driven by TikTok, Instagram, and YouTube. F1 remained the fastest-growing major sport property on social platform. Driven by both an exciting season on track and cultural buzz around the F1 movie, F1 drew its largest reach ever on social media in the second quarter with over 20 billion total social impressions, growing over 100% compared to the second quarter of the last year. In June, the F1 movie was released to the world. The movie was the largest global opening weekend ever for a Brad Pitt film and was shown on more than 44,000 screens across 80 markets. In its first 5 weeks, the F1 movie saw global box office sales over $500 million, becoming the highest grossing Apple film to date. The film will be released on Apple TV later this year and will continue to strengthen fan engagement with our sport. It's worth emphasizing the scale of our total global fan base. As Nielsen reported earlier this year, the F1 fan base reached a record number of 826 million in 2024, 43% of these fans are under 35 and 42% of our fans are female, the highest share in F1 history for both segments. Additionally, we recently publicided results from a global fan survey conducted by Motorsport Network. 27% of the survey respondents were under 24 years old, and half of these were female. 75% of the fan who became interested in the sport in the last year were female. Importantly, for our commercial business, 1 in 3 fans are more likely to consider a purchase if it is from an F1 partner. We will continue to cultivate this fan base in creative ways to interact with Formula One race on non-race weekends alike. Growth in our fan engagement is translated to strong interest from commercial partners, generating continued financial strength. In our race promotion business, we renewed the Austrian Grand Prix through 2041 and the Canadian Grand Prix through 2035, reflecting the confidence our partners have in F1 value and growth trajectory. We also announced our '26 calendar. We are excited to welcome Madrid to the F1 family as a new race beginning next year, 2026 marks the final lap for Zandvoort, and we are tremendously grateful for all our promoter has done to delight fans since their return to the calendar in 2021. We look forward to welcoming one of the numerous interested nations and city to this slot in 2027 and beyond. The '26 calendar also advanced our continued improvement in the geographic flows of races with the Canadian Grand Prix now following Miami, driving expected freight efficiency and consolidating our European races into one unbroken run over the summer months. For Las Vegas Grand Prix, we are very happy with the progress made so far this year. Our ticket sales are trending ahead of last year, driven by higher sell-through rates. We have agreed to contract extension with all our founding partners and are working to secure long-term procurement contracts to reduce future build-out costs. We and our partners see the incredible value of this race as we continue to build it for long-term success. Turning into media rights. We are finalizing contract in several regions, including Japan, Australia, Pan-Asia, Mexico, and Latin America. We continue to make progress on our U.S. media rights agreement and are confident in our attractive position in the U.S. market. Nielsen reported the American fan base grew over 10% to 52 million fans in 2024, and the U.S. remain our largest market on social. We continue to focus on securing the ideal partner to support our broader commercial strategy for continued growth in the U.S. market. In Brazil, we have secured a return to Globo TV for 2026, who previously held our right for 40 years. This platform has the largest share of the total viewer in Brazil and commands over 50% of the free-to-air broadcasting market. Additionally, alongside our race promotion renewal in Canada, we also contracted a long-term extension to Bell Media's media rights deal. F1 TV continues to outperform our expectations, with especially robust growth in the U.S., UAE, Canada, Brazil, and Sweden and with the new premium tier offering seeing strong uptake. Our sponsorship was entering 2025 with high visibility into our pipeline, and I'm very pleased with the significant new partnership activity we have announced. MSC Cruises extended as our global partner through 2030, and we welcome Pepsi as an official partner, bringing their powerful portfolio, including Doritos, Gatorade, and Sting Energy into the F1 ecosystem. With this incredible success benefiting our 2025 results, our team is now focusing attention on our pipeline for 2026 and beyond. I'm confident in our progress on several high-value renewals and new partnerships that will drive continued growth. On our other revenue stream, looking first at the Paddock Club, we continue innovating our premium hospitality product, including leveraging key learnings from Las Vegas to diversify and enhance this experience. We were excited to announce House 44, a partnership with Lewis Hamilton, Soho House and F1 that we launched at Sixth Circuit this year, beginning in Silverstone. We believe there are additional innovative products to come. License remain a continued areas of focus and growth. F1's new partnership with Disney is the latest example of our effort towards F1's always-on strategy, bringing F1 into the lives and homes of our Fast Beyond 24 races a year. We will deliver a 360-degree licensing program with Mickey and friends across consumer product categories, retail, track site activation and experience and are thrilled to launch this partnership in 2026. Our LEGO partnership also continued to show strong growth and generate buzz on social. LEGO marketing activation hit over 21 billion in reach this year. Across our consumer product business, our partners sold 12 million units of product in Q1. 2026, we will see a number of new licensed products launching across soft and hard lights. In experiential licensing, F1 Arcade globally welcomed over 200,000 guests through its door in the second quarter alone. The third year venue in Philadelphia opened at the end of May and Denver, Las Vegas, and Chicago will open in the fourth quarter. We are also pleased to report that the F1 exhibition has now surpassed 1 million tickets sold. Turning to Grand Prix Plaza. The new activation launched to the public in May capitalized on the F1 brand to promote the site as a primary destination in Las Vegas. The venue has welcomed visitors from 72 different countries since opening. We believe our karting operation is now the second highest grossing track in the country, exceeding 1,000 riders a day on the weekends with strong and growing revenue per person. It is, however, still early days and the overall revenue contribution is modest. And finally, we hope many of you saw our F1 75th motion activation, marking 75 years of F1 through a vintage-inspired premium pop-up at Luxury Retail Selfridges in London. Originally planned as a 2-week activation, it was extended due to exceptional demand. Finally, on sustainability, in July, we published our 2025 update, highlighting our continued commitment to sustainable growth and progress to date. We achieved a 26% reduction in emissions in 2024 versus our 2018 baseline, ahead of internal expectations. This achievement is particularly noteworthy against the backdrop of more races and bigger events, demonstrating that we can grow sustainably while expanding our global footprint. As we look ahead, Formula One's momentum across every dimension of our business position as well for the continued growth. The foundation we are building today will drive long-term value creation for all our partners and stakeholders. Avanti Tutta, full speed ahead. And now I will turn the call back over to Derek. Ciao. Thank you.
Derek Chang: Thank you, Stefano, and thank you, Brian. Before going to Q&A, I want to remind you to save the date for this year's Liberty Media Investor Day. We will be hosting our Investor Day alongside the inaugural F1 Business Summit on Thursday, November 20, in Las Vegas in advance of this year's Grand Prix. We will have limited in-person attendance, but the Investor Day will be webcast. Stay tuned for more details. We appreciate your continued interest in Liberty Media. And now we would like to take questions. Operator?
Operator: [Operator Instructions] Our first question comes from David Karnovsky with JPMorgan.
David Karnovsky: For Derek or Stefano, obviously, there's been a lot in the press on the U.S. media rights. Maybe you can update us on where things stand with the process. How are you thinking about priorities in terms of reach versus payment? And what role might -- F1 TV might play?
Stefano Domenicali: Derek, if I may, I can start, if it's okay for you.
Derek Chang: Yes, absolutely.
Stefano Domenicali: Thanks, David, for the question. I think that, as you said, I will start from the last of your remarks. F1 TV is and has to be and it will be part of the package of what we are negotiating now into the future. This is absolutely relevant because as you have seen, David, the numbers are growing. There is an incredible opportunity for us to stay connected with our, let's say, fan base that is maturing and is growing in terms of attention in terms of knowledge. And of course, the discussion we are having are in a good place because we believe that we are, as I said, very, very good opportunity to keep the momentum that it is very strong in U.S. And just I think yesterday, there will be the indication that this year, we were over 1 million follower on the races in U.S. that is really great. So we are progressing our negotiations. Of course, there are weeks in front of us. We have not a great rush to finalize everything because we want to make sure that, as you said, we find the right solutions. One thing that I definitely can add is we are looking for, I would say, mid-term, not long-term, mid-term agreement because we believe that we are still in a position that our growth will have the chance even further to be negotiated better in the future. But everything is looking good. And the balance is definitely important, as you said, between reach and awareness. But we believe that everything is progressing according to our plan.
Derek Chang: Thanks, Stefano. And I would just add that as we continue to look at the U.S. market, we are very pleased with the progress we've made over the last few years with the addition of the races that we have here and sort of the engagement that we're seeing and look forward and the fact that the business has been built in the U.S. and what that's doing to help promote and foster the sort of robust discussions that we're having and look forward to having this next deal take us into the future.
David Karnovsky: Okay. And then maybe just one on the Vegas Grand Prix, it would be great to hear a bit more about the on sale process for the year, how the strategy of starting at a lower price point is paying out. And does that plus what you could do on expense management, I don't know, inform any view on the ultimate kind of contribution of the race to the financials for the year?
Stefano Domenicali: Well, I can definitely say that Vegas is progressing very, very good according to our plan. If I go specific to your question, it's definitely what we have done differently to last -- from the previous year that has been the first year of that experience, we definitely start with the price that is pretty clear with no drop down. And this has been very, very clear and the package that we have sold is following this direction. And we definitely believe that, of course, from this year onwards, the contribution of Vegas Grand Prix [indiscernible] will be definitely much more important than what has been so far in the first 2 years.
Derek Chang: Yes. And I would just add a huge shout out to Stefano and the whole F1 team, the LVGP team because the amount of progress they've made this year has been pretty impressive as we've -- at the beginning of the year, talked about what needed to get done there, both on the expense side as well as the revenue side. And as Stefano talked about in his comments earlier, I think we've got the agreements in place with our partners in Las Vegas. I was just out there a couple of weeks ago. And I think the enthusiasm for where the race stands and where we're going with this thing is pretty palpable, and I think puts us in really good shape going forward.
Operator: Our next question is from Bryan Kraft with Deutsche Bank.
Bryan D. Kraft: Brian, I was wondering if you could help us to quantify the contribution from the F1 movie to primary revenue so that we don't all end up overestimating the revenue that's going to be recurring? And then secondly, how will the MotoGP management team 16% ownership be accounted for, both in terms of the income statement and the share count?
Brian J. Wendling: Yes. So on the F1 movie, think of it as a mid-teens number for the quarter that's one-time in nature on revenue. And then I'll answer your MotoGP question, but then I would kick it over to Stefano after that to really talk a bit more about the benefit of the F1 movie to the overall ecosystem. But quickly on MotoGP, the 16% will be accounted for as a non-controlling interest. So you'll see a big amount on our balance sheet above equity. And then we'll pick up 84% of the earnings of the business through the P&L. The other 16% will be allocated to non-controlling interest. Stefano, do you want to comment on F1, the movie?
Stefano Domenicali: Yes, absolutely. I mean thanks, Brian. And Brian, I would say the effect of the movie is not only, of course, about the dollars and the economical impact, but the sport will have an incredible opportunity to grow its awareness and to generate, I would say, the circular economy around that because it's a new product that has been incredibly strong. And actually, why we were, in a way, quite positive about the impact in the U.S. was fascinating to see the impact on the more mature markets. So these things will generate definitely interest, will definitely bring money to the ecosystem, to the teams, to the F1 stakeholders. So that's really what we can see happening. If you think that after just a couple of weeks, the movie itself brought more than $500 million at the box office is something that keeps you the amount of interest that is generated. We don't have to forget that this movie will be out on Apple platform later on at the end of the year. So that momentum will have a longer effect that will definitely create interest that can be monetized later on into the all the system that is around Formula One.
Operator: Our next question comes from Stephen Laszczyk with Goldman Sachs.
Stephen Neild Laszczyk: One on MotoGP and one on F1 from me. Maybe first on Moto, I think it's clear that you see a lot of opportunity to improve the reach and monetization of the sport. I think it's also pretty clear that you expect a period of investment and repositioning to play out over the next couple of years. So I would just be curious if there's maybe any early frameworks or thinking around how investors should expect the pace of investment to be matched against the pace of execution against the revenue opportunity and really what that means for the trajectory of profitability for the business over the next few years? Any thoughts or frameworks there, I think, would be helpful. And then a quick one just on hospitality at F1. You called out in the press release and I think in the prepared remarks, the strength you're seeing there. Is there any way to maybe elaborate more on the drivers and magnitude of that growth? And if we were to look at comparable GPs year-over-year in the quarter, what types of growth we're seeing from Paddock and hospitality?
Derek Chang: Okay. This is Derek. Let me just take this to start. I think as it relates to sort of MotoGP, you're absolutely right. We do see a lot of opportunity here. I think that -- and I'll let the team sort of opine here, but no one actually knows who these drivers are and few people know about sport. And I think that's -- fundamentally, we have a great sport, and it's a great place for us to start. So we do see opportunity, I think, from an investment standpoint in the MotoGP. We, like F1, will plan to invest. I don't think it's going to be something that's outsized per se, but we do want to accelerate growth there and see the opportunities to do so. I'll let Carlos Ezpeleta from MotoGP speak a little bit more in detail on that, and we come back to the hospitality question.
Carlos Ezpeleta: Thank you, Derek. Yes, we see growth basically divided into two areas. The first one being how to monetize our current fan base or our current business better. And the second one and especially one where Liberty can be very helpful, evolves around an increased fan base around the world. And whether that is through content, through storytelling, or through our strategically growing different markets, all of that evolves around growing our fan base. I do have to say that we have invested -- that investment already started before the operation of Liberty Media and us hiring key roles around commercial and marketing and investing in sort of fan insights and research roles. And all of that has already started to lead to potential increases in the business. But we do see that the biggest driver of growth will be increasing our fan base globally. As Derek was saying, we do have a lot of opportunity in showcasing what the sport is and who the riders are, and we see that, that will be the biggest driver of growth.
Derek Chang: Great. Thanks, Carlos. I think as we come back to the question on hospitality, Stefano, if you want to give your thoughts on that, that would be helpful.
Stefano Domenicali: Absolutely. Thanks, Darek. Thanks, Stephen. I mean I think, first of all, I just can confirm may reiterate the culture that demand is very strong. What we are doing is making sure that we have different products that can contribute to what are the needs of our partners and fans. Of course, the fact that we are now having incredible partners that are able to activate their investment through hospitality packages is giving us the chance to highlight the need of keeping the focus on quality and also try to capture any other opportunity around the world where we can extend our hospitality to follow the demand that we have. That is very important. And this is what we are doing, where we are negotiating or we are discussing with the promoter. When there is -- we can see that there is enough demand to grow the quantity, keeping the quality at the stand that we want, definitely this is what we are doing. And I think it's really what is important to say that we are working since a couple of years and not stopping for sure, on making sure that our hospitality program are entertainment -- pure entertainment that have a unique city that we can offer to our fans that are coming to the track. This is really something that has been recognized unique from other disciplines, from other world of entertainment, and that's where we are focusing. So quantity for sure, but quality [indiscernible] the offer that we can provide to our fans.
Derek Chang: Yes. I mean a great example of that is this past weekend's race in Budapest, where they just unveiled a whole new Paddock Club facility, which is larger and certainly much more upgraded than previously, which speaks to both quantity and quality that Stefano just referenced.
Operator: Our next question comes from Ben Swinburne with Morgan Stanley.
Benjamin Daniel Swinburne: One on MotoGP, and then I want to ask Stefano about sponsorship. I think the last disclosure we had from the deal deck, Brian or Derek was back in, I think, 2023. I think it was about EUR 480 million. I'm just curious if you could talk about how the business has performed just from a top line perspective as you get through '24 and expectations for '25. I think you have more races this year than you were running -- than Moto was running in those couple of years, just to help us think about growth rates. And then, Stefano, in your prepared remarks, you talked about the sponsorship team focusing on '26. You sounded excited about the opportunities. I'm just wondering if you could spend a little more time on how you're feeling about the pipeline into next year because this year is a great year for growth in that revenue line. I'm just wondering if you feel like you can keep the growth going in '26 at a healthy clip given what your team is seeing right now.
Derek Chang: I will start and have Brian take the first question, then we'll pass it back to Stefano.
Brian J. Wendling: Yes, Ben, I would point you to the info deck that was put on our website on the day the deal closed. But you can see in there and a reminder, these are not our numbers. They're in Spanish GAAP. They're not U.S. GAAP, they're in euros. There's a whole bunch of disclaimers I put on them, and those are all in the deck as well. So read those carefully. But with that said, 2023 -- in 2022, you had EUR 475 million. In 2023, you had 46 -- I'm sorry, yes, in 2023, you had EUR 486 million. In 2024, you had EUR 462 million. Same race count across each of those, but there were cancellations that impacted 2024 where your expectations were higher, but you had cancellations that two of which got replaced with lower fee races. You'll be able to see the OIBDA numbers in there as well. There were some bad debt amounts that were kind of onetime in nature in 2024. You'll see an information pack or a trending schedule filed on our site later today, where you can see the year-to-date numbers. And what I would say on that is when we think about where we sit for the 6 months ended 6/30/25 versus 6/30/24. Keep in mind, there's always a different mix of races. There were 10 races in '25, 2 additional flyaways, I believe, versus 8 races in the prior year. Those flyaways tend to have a higher cost. Certain -- the flyways in general tend to have a higher cost and then the economics obviously depend by each race, but we would expect to see a higher mix of profitability for the races that remain in the back half of the year.
Derek Chang: And then I'll turn it back over to Stefano for the question on sponsors.
Stefano Domenicali: Yes. Thanks, Derek. Ben, I think that you are absolutely right. I think that what is relevant to say is that the momentum that we are living, we are pretty convinced that we'll keep being strong. We were talking just before about the movie. The movie will capture another dimension of brand that will be attracted by what we can offer to them. Of course, being in this moment where, as I said, the pipeline seems to be very, very interesting, we need to make sure we keep the balance. And we will keep doing what we've just started in order to keep the quality also here and to keep progressing with the fact that we can have partners that we have -- we can give them, I would say, less visibility with a higher number of money -- with higher money because we are differentiating the different categories. We [indiscernible] Barilla, Allwyn, LEGO, and Pepsi, and LVMH and this has created an ecosystem that is generating more interest in other categories that we are now to evaluate in the right way. What I can see even more important is that we have, for example, one category that is betting, as you know, that is an opportunity that we need to take in the right way. We have a lot of discussion. We need to make the right call because, as you know, in [indiscernible] market, this is a big opportunity now that there are legislation limitations we need to consider. And then another area that I said at the beginning will be very interesting to develop is the consumer area that has never been important in the business of F1. So that's another area of possible development that we are focusing in order to bring home good and important deals in the future. That is not only '26, but in the next year after.
Operator: Our next question comes from Kutgun Maral with Evercore ISI.
Kutgun Maral: I wanted to ask about the outlook for F1 race promotion and maybe just excluding Vegas. I know this year is relatively light, but it seems like you have a number of deals or extensions in 2026 that could really help accelerate growth over there, particularly thinking about Melbourne. So I wanted to see if you could expand on the opportunity you see over there.
Derek Chang: Yes, Stefano, I can...
Stefano Domenicali: Sorry, sorry?
Derek Chang: Go ahead. Go ahead.
Stefano Domenicali: Okay. Thank you, Derek. I would say, well, definitely, the positive trend that we see is definitely there because in all the possible opportunities that we have, we have more demand and/or we have the chance to, let's say, work together better with our partners in order to make sure that, as Derek was mentioning before, Hungary has proved to not only Europe, but all the markets that if a country believes in our sport, there is room for investment, room for the right investment for fans, and also the right fees that needs to be recognized by the fact that F1 is the business cup for a country and for a culture. Therefore, there are opportunity in front of us. But the other good thing is that for the deals that we have extended with a quite significant term, it's benefiting the fact that there is a robust growth in the year to come in order to keep the financial opening to the race as minimum as possible. But definitely, for the windows that we have in front of us, there are a huge opportunity because, as you know, we don't want to move forward in terms of number of races even if the request is higher than what we can offer.
Derek Chang: The conversations that Stefano and his team have with prospective promoters out there, they are -- it's a pretty healthy group of folks that are always coming in to have discussions. We clearly have certain limitations as it relates to calendar. But I think as we continue to scope it out in the future, there will be options as we move forward.
Operator: Our next question comes from Peter Supino with Wolfe Research.
Peter Lawler Supino: I'm thinking about the profit recovery potential in Las Vegas. If memory serves, you have about $600 million of capital invested in Las Vegas PP&E. And understanding and appreciating that the LVGP has benefited the entire sport, is that original capital investment something on which Liberty realistically expects to earn a stand-alone return on capital that's better than your WACC?
Brian J. Wendling: Yes. I mean our goal is certainly to earn a return on that investment. And as you rightly point out, and we've pointed out a few times before, less and less are we looking at the stand-alone economics of Las Vegas because as Vegas continues to grow and mature and we continue to work with the partners in that market, you see benefits to the overall ecosystem, some intangible and a lot of them very tangible. So -- but overall, yes, we certainly aspire to earn a return on that investment.
Operator: Our next question comes from Joe Stauff with Susquehanna.
Joseph Robert Stauff: I wanted to ask if there's anything you could share with us on MotoGP and just, say, the expiration schedule for the existing race promoter contracts that you have? And then the second question is on the new race promoter contracts within F1 you announced in Canada and Austria. Is there any sense you can give us on kind of like the average growth that you'll realize over the period? Or any delta you can share with us, please?
Derek Chang: Yes, this is Derek. On the first question with respect to race promotion at MotoGP, and I'll let Carlos talk about it in a little bit more detail, but there is a sort of a regular cadence of renewals probably coming up our new races we announced, I think, earlier today, both the Buenos Aires race or earlier this year, excuse me, but I alluded to it earlier in the call, the race in Argentina and then the one in Brazil coming back. So -- but with that, I'll turn it over to Carlos right now and give a little bit more detail.
Carlos Ezpeleta: Thank you, Derek. Yes. On promoters, we're happy to say that it's one of the biggest areas of growth for the sport right now. We have a lot of demand of new countries wanting to come into the calendar, and we do have space on the calendar, even though that we have a 22 race maximum agreement with the teams. There are -- we have 4 races in Spain. We have 2 races in Italy and other -- let's say, other events which could be substituted to bring new markets in. This year, we have announced Buenos Aires to join the MotoGP calendar from 2027 and Brazil to return after 20 years. Both of those have considerable increments on the events that they are substituting. We have also announced renewals with events in Spain and France with very significant increases on the fees. So we do see a huge pipeline of demand of new countries wanting to join in. Of course, with the expectation around the partnership with Liberty, we do have to think about this strategically and keep space on the calendar for new markets or extending our presence in other markets. So we do see that the cadence of those contracts are increasing. The countries and promoters are looking to expand their agreements. They're typically 5 years, but some are now longer for up to 10 years.
Derek Chang: Great. Thanks, Carlos. I think on the F1 question with respect to the two recent renewals, we're not getting into the details of what those renewals are. But that being said, both of these are important markets for the F1 calendar and also bring other components to it, including the media rights renewal in Canada, but I'll let Stefano articulate that in a bit more detail.
Stefano Domenicali: Thanks, Derek. I just want to reassure you -- assure you, Joe, that the delta are definitely positive and positive not only in terms of financial contribution, but also positive for the ecosystem. Of course, every Grand Prix of every promoter has a different considerations to be recognized. For example, the [indiscernible] has to recognize that there is an incredible effect that we have from the investment of Red Bull in the F1 ecosystem, and this is pretty clear. On the other hand, Canada has been always an important market for Formula One, but there was the need also to invest by them in order to create the right environment for the growth. And that's why the fact that we put in place new facilities, new Paddock Club increases in terms of opportunity for us and new grand stand for the fans will all help the profitability, of course, from the promoters and also for us as a commercial rights holder. So I would say everything is taking very care in consideration, knowing that everyone is a specific reality that has to be considered differently. But overall, everyone is so supportive on our approach because they see the benefit also on their own. We create a business opportunity wherever we go. We create interest, we create the fact that everyone is using F1 to make sure that they can explain to the world what is behind the race. That is not to me. On the attention to an event is an attendance of attention to an ecosystem in order to produce technological inspiration and create what every country would like to bring home by hosting a Grand Prix. So overall, the delta are definitely positive everywhere we go.
Operator: Our next question comes from Ryan Gravett with UBS.
Ryan Andrew Gravett: With the MotoGP deal closed and the split coming, I was just wondering if you could provide an update on capital allocation plans and priorities from here. I know you talked about getting to 3 to 4x at MotoGP, but how should we think about the right target leverage at the F1 OpCo level and just your general thoughts on share repurchases.
Derek Chang: Yes. Thanks for the question. We -- as you rightly alluded to, we are delevering as we speak. And as we kind of come out to a point where we feel comfortable with the leverage, I think we continue to look at opportunities in the marketplace, which has always been sort of Liberty's mantra. That being said, from an M&A perspective, we always will have a high bar there and keep a discipline to what we're looking at and potentially investing in. I think that this will play out as we move forward here, and it's certainly a discussion that we will continue to have.
Operator: Our next question comes from Steven Cahall with Wells Fargo.
Steven Lee Cahall: First one just on F1 TV. I'm wondering if you've done any assessment of those subscribers. It seems like maybe some are super fans, some are cordless, definitely some could be both. But as you contemplate maybe moving to a streaming partner for some of your rights, do you worry that there's any cannibalization risk of the folks that are cordless and just may be able to find that content for the subscription that they already have? And then a second one, just on competitive balance. I was wondering if you could talk if there's anything new in the Concorde agreement around this. We have another F1 season where 6 of the 10 teams aren't really racing for championships or podiums. I was wondering if there's anything in the new Concorde that might balance that more -- a little better over time. I know you have some financial controls in there, but it hasn't yet kind of moved out of the steering effect that you've got in the field.
Derek Chang: Yes, I'll start. And Stefano, I will turn it over to you since I know you love talking about competitive balance. But on the first question with respect to sort of streaming platforms and F1 TV, the reality is in the world that we live in, it's not sort of one or the other or sort of the concept of -- - you've got to just make things available to consumers and to fans wherever they sort of want to engage with you. And so that's, I think, what the overarching goal always is, is to try to provide your content in as many places as possible that consumers and fans can easily access. But with that, I'll turn it over to Stefano.
Stefano Domenicali: Thanks, Derek. I mean just to go to the competitive balance, Steven, I think that we need to be considering F1 not in one season. But if you remember 2 years ago, McLaren, who is today leading the championship was last in the last row of the first Grand Prix in the Boeing Grand Prix. So I think that what has been done with regard to the budget cap and the possibility for the teams to -- that are able to win to have reduced time of wind tunnel and some other effect on their development is having an effect. The gaps in terms of the difference between team to team has never been so small. And therefore, I mean, on that respect, I do believe that we are not worried at all about these assets. And I would say the model we have put in the Concorde is absolutely fair because there are so many variables that we will try to consider everything in order not to have something that is -- can be perceived sake. Therefore, I do believe that the more that you are creating in terms of attention to the fact that if you are more successful, you can get more money from one side. But on the other side, on the sporting side, we are trying to create the right content from the sporting and technological regulation in order to try to keep the pack as comfortable as possible. And this is the duty of the work together that we have to do together with the FAA and on us on both sides of the cab.
Operator: Our last question is from David Joyce with Seaport Research Partners.
David Carl Joyce: I wanted to ask about MotoGP. You already talked about the race promotion cadence, but could you help us understand the typical duration of the media rights contracts and what might be expiring in the next 12 to 18 months? And similarly, with -- on the sponsorship side, I know that's a ripe area for growth there. What are some typical contracts there? And how would those be renewing?
Derek Chang: Thanks for the question. As we are thinking about sort of both of those categories, clearly important pillars of our revenue and our growth. And as I think Carlos, we spoke about earlier in terms of sponsorship and sort of that area, we do see a huge amount of opportunity there. We do think it's a long build just because we've got to sort of tell the story, get the potential sponsors and people bought into what we are, what we can do for them. And just like we saw with F1, that will be something that happens over time. On the media rights, we do have a variety of deals coming up, as you might imagine, over the course here in the next several years. I will let Dan speak about that in a little bit more detail. But again, I think the goal there is probably to broaden the reach and continue to sort of build the brand of MotoGP and in the conscious of sort of the general market. So that's sort of where we're pushing. But Dan, why don't you take that? Dan Rossomondo, Chief Commercial Officer at MotoGP.
Dan Rossomondo: Thanks, Derek, and David, thanks for the question. I think I'll start with the media part first. I think the great part about our sport is that we are truly global in nature. So we have to be relevant and have the right media deals in a variety of countries. And everywhere we go, we want to have the best and most thorough distributions. Our deals do have different cycles, as Derek said. And I think the other really key part that Derek said is that we need to sort of change with how today's consumer is changing, where they're watching things, how they're consuming content. So we're always looking for what might be the next really key distribution methods, and we hopefully keep flexibility within our agreements to sort of touch on that and to change that as we can. On the sponsorship side, we -- it's been said a few times. We think that's a huge area of growth. One of the real reasons why we spent so much time and invested so much money over the last year on the brand identity and on building up both the business analytics and the marketing team was so that we can go out and tell better stories and attract new brands into the ecosystem. We have a variety of partners that are endemic inside of the industry. We have some really great ones that are not endemic, but we clearly have to build out that build out that pillar of our business. And we're going to do that by becoming more attractive to brands that they want to tell stories with us. We want to get them to know our riders better, and we want to enter into long-term deals with sponsors that are like-minded and are really, really good marketers so that they can help us build our business and attract even more fans. So that's where we are.
Derek Chang: Thank you, Dan. And I think that's our last question. I want to thank and welcome Carmelo and Carlos and Dan. Thank you guys for your participation. Thanks, Stefano, and thank you to everyone who joined the call today. We appreciate it and look forward to speaking again soon.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.